Operator: Good morning. My name is Lisa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Fourth Quarter and Year End Fortress Transportation Infrastructure Investors Conference Call.  I would now like to turn the call over to Mr. Alan Andreini. Please go ahead, sir.
Alan Andreini: Thank you, operator. I would like to welcome you all to the Fortress Transportation and Infrastructure fourth quarter and year-end 2019 earnings call. Joining me here today are Joe Adams, our Chief Executive Officer and Scott Christopher, our Chief Financial Officer. We have posted an investor presentation and our press release on our website, which we encourage you to download if you have not already done so. Also, please note that this call is open to the public in listen-only mode and is being webcast. In addition, we will be discussing some non-GAAP financial measures during the call today, including FAD. The reconciliation of those measures to the most directly comparable GAAP measures can be found in the earnings supplement.
Joe Adams: Thank you, Alan. To start the call, I’m pleased to announce our 19th dividend as a public company and our 34th consecutive dividend since inception. The dividend of $0.33 per share will be paid on March 24 based on a shareholder record date of March 13. The key metrics for us are adjusted EBITDA and FAD or Funds Available for Distribution. Adjusted EBITDA for Q4 2019 was $234 million compared to Q3 2019 of $112 million and Q4 of 2018 of $61.8 million. Note that these figures exclude adjusted EBITDA contribution from the CMQR rail assets as they were sold in Q4 of 2019 and are now classified as discontinued operations. If contribution from discontinued operations had been included, adjusted EBITDA for Q4 2019 would have been $314.7 million compared to $114.1 million in Q3 2019 and $63.1 million in Q4 of 2018. FAD was $288.6 million in Q4 2019 versus $120.7 million in Q3 2019 and $57.7 million in Q4 of 2018. During the fourth quarter, the $288.6 million FAD number was comprised of $174.2 million from our aviation leasing portfolio, $167.2 million from our infrastructure business and negative $52.8 million from corporate and other. Infrastructure business FAD included $94.1 million from discontinued operations, resulting from the sale of CMQR rail assets during the quarter. Also, the FAD number includes $67.6 million of proceeds from the sale of aviation assets, $150 million of proceeds from the sale of 50% interest in Long Ridge and $100.8 million proceeds from the sale of CMQR assets net of debt and transaction costs. Now, let’s turn to aviation. For the fourth quarter 2019, annualized adjusted EBITDA excluding asset sale gains was $431 million, up from $359 million in Q3 2019 and $291 million in Q4 of 2018. Including gains from asset sales of $21 million in Q4 2019, $37 million in Q3 of 2019 and a loss of $1 million in Q4 of 2018, adjusted EBITDA from aviation was $128 million in Q4 of 2019 compared to $127 million in Q3 of 2019 and $72 million in Q4 of 2018.
Alan Andreini: Thank you, Joe. Operator, you may now open the call to Q&A.
Operator:  Your first question comes from the line of Justin Long with Stephens.
Justin Long: Thanks. Good morning, and congrats on the quarter. So maybe to start with a question on aviation, it was a strong performance for your business. I look at GATX. They also put up a really strong fourth quarter in their engine leasing JV with Rolls Royce. Can you just talk about the sustainability of this strength as we look into 2020? I just want to get a better sense for what you view as a normalized performance for that business as we look into the first quarter of this year and beyond?
Joe Adams: Yes. Thanks, Justin. Sure. Seasonally the third and fourth quarters are always the strongest of the year. So, I think that’s one point to keep in mind. And obviously a lot of good things happened in the industry for us being that we didn’t have the max, so we had a lot of demand for flying and lot of hours flown and the parts market is very strong. So everything was – it was a very, very good quarter for us and for others as well. So – but going into 2020, I feel very good about the overall profitability. But since there were some special – some tailwinds in the fourth quarter, I wouldn’t extrapolate that that’s going to continue for the whole – into Q1 and Q2 on a percentage basis, but operationally, we’re adding to the portfolio and we’re still growing and the macro for the CFM56 engine is still great. So all those things are very positive. But it was a – it was an exceptionally good quarter.
Justin Long: Okay. That’s helpful. And then maybe to follow-up on Jefferson and some of the commentary there. It sounds like by the end of this year you’re expecting to be at that $100 million EBITDA run rate. Is there any way you could break down the different components of that number as you think about storage, crude, refined products, etc? And then as a follow-up to that, on your last point about dividend coverage. It seems like you’ll be at that two times level here pretty soon. So I wanted to get your thoughts around raising the dividend.
Joe Adams: Yes. On Jefferson, I would say the two categories for the EBITDA revenue is going to be crude and refined products. We’ve now gotten rid of ethanol. And I think crude is going to be the biggest part of that, probably two-thirds of that number and a third in refined products. However, we’re sort of agnostic here and different as to how we grow that going forward. And I think there’s opportunities we look at today that are for both of those categories to grow. But it’s – right now I think for the near-term, it’s going to be more crude than refined products. And then the dividend coverage, I think you’re right. I mean the big swing if you go from zero to 100 on Jefferson, obviously that will put us well over 2:1. So it’s really just a question of when that happens and it feels like pretty soon.
Justin Long: Okay, great. I’ll leave it at that. Thanks for the time.
Joe Adams: Thanks.
Operator: Your next question comes from the line of Chris Wetherbee with Citi.
Chris Wetherbee: Hey, thanks. Good morning, guys. I wanted to touch a little bit on FAA approvals for aftermarket. Can you give us a sense of timing a little bit there? And then maybe more important to that then what does that mean in terms of unlocking potential revenue streams or business streams? What are you prepared to be able to offer to the market at that point? And ultimately maybe if you can talk about what that means from a financial perspective for the business?
Joe Adams: Yes. So good question. I mean, as I’ve been saying, I think 2020 is a very big year for us to grow our market and have commercial – commercially available products for the CFM56 this year. If you break in segments, as you know, we made our initial investment in three years ago of $15 million and there’s two different products, and we hoped and expected based on what we know that those will both be commercially available this year. One of them we’re expecting towards the end of the second quarter and one by the end of the year.
Chris Wetherbee: Okay. Okay, that’s really helpful to put those numbers around it. I appreciate that. And then I guess maybe taking a step back and thinking about this conceptually around the infrastructure side of the business. Feels like you’ve been a net seller over the course of the last six months to 12 months on that side. Can you give us a sense looking into the crystal ball about 2020, which I’m sure is very clear given the circumstances that we’re in right now. But could you give us a sense of what maybe you think the market looks like in 2020 in terms of being better to buy or sell on the infrastructure side?
Joe Adams: It’s, as you point out, it’s pretty hard to tell right now. Surprisingly, we’ve seen some actually pretty interesting investment opportunities that have started to hit the market, and I don’t know if that’s because people were trying to get out before it ends or what. But there are some sort of a recent influx of new deals that we’re looking at, which I would say we haven’t seen for two or three years. So there might be some interesting new investment opportunities. And I would say, as opposed to a net seller, I would characterize us as a recycler. The business model we’re trying to execute on is to build businesses at three times to five times EBITDA. Hopefully when they trade in the public markets, they would trade at 10 times to 12 times EBITDA. And if there is a strong bid from private buyers, you could sell them at 15 times to 20 times EBITDA. So that’s what we try to do. So, I think – and I do think that the infrastructure buyers have raised a tremendous amount of capital. So, the private market bids for infrastructure I expect to stay quite strong. I don’t see that diminishing. So then – I feel pretty good right now about really both sides of that. The ability to monetize once we’ve built and maybe the opportunity that might – some things might shake loose here in the next few months, it could be interesting.
Chris Wetherbee: Okay. And if you allow me just one quick question, just in terms of the DRU opportunity. Is that going to be a Jefferson volume opportunity maybe at the end of 2020, 2021, but will that be a Jefferson story for you guys?
Joe Adams: We hope so. I mean I think it’s very positive for crude-by-rail from Canada because it creates a permanent flow of product that’s better economics than pipeline. So that’s what it achieved. So people that are looking at building DRUs and there is at least two that are pretty advanced and there’s another two that are on the – that could happen as well, are looking to get 10-year or 15-year commitments from both from us and from the participants. And obviously, we’re not going to plan necessarily on the origination terminal side, but the product is most likely going to end up in refiners in the Gulf. And so that’s where we would expect and hope that some of that volume, and it doesn’t take a lot, will come to us. So we have a heated system. We have pipeline connectivity. We have water access. So – and we have tremendous rail, obviously. But – So we’re very keenly focused on that and hope to get some of that volume.
Chris Wetherbee: Okay, perfect. Well, thanks very much for the time. I appreciate it.
Joe Adams: Yes.
Operator: Your next question comes from the line of Devin Ryan with JMP Securities.
Devin Ryan: Great. Good morning, Joe. How are you?
Joe Adams: Good
Devin Ryan: Good. So first question here, just coming back to Aviation, and I guess one specifically on the coronavirus. I mean it seems that market knee-jerk reacted and is kind of lumping all aviation business models together what we’ve seen a lot of pressure over the past couple of weeks just given concerns around travel. But I’m assuming that there could actually be some opportunities for business models like yours and especially now that you have quite a bit less leverage than some of your peers and potentially are not going to be stressed like some others. And so I’m curious kind of how you guys are thinking about what’s going on kind of globally right now with the virus, how the business model is positioned and if any opportunities actually are starting to come about as a result of it?
Joe Adams: Yes, sure. There are – I mentioned in the script that we are seeing airplanes being that may be previously wouldn’t have been available that are being offered because airlines, airlines obviously has a front line and they take the biggest hit on this. And when they are stressed, airlines look to raise cash from every available means. And it will come from potentially government assistance. It will come from them asking lessors to not pay rent for a few months or they’ll sell assets or businesses. So, I think that the selling of older airplanes, if we can buy CFM56 engines by buying older 737 and A320s, we are very, very interested in that. And I think the pricing on it will be quite attractive. So that is just really a question of how long does this persist. And as long as the airlines don’t liquidate or go out of business, generally the lessors will be fine. So, I think if you believe that people are going to continue to travel and ultimately, this will – people will get back on airplanes after taking some time and staying in their homes for months, they’ll – the industry has always rebounded. So, I think it could present some very attractive investment opportunities for us, but we’re obviously hoping it doesn’t last too long.
Devin Ryan: Got it. Okay, thanks. And then this is my follow-up on leverage in the system. So, you guys have obviously delevered fortuitous timing here, and it sounds like there may be some new opportunities to put incremental capital to work and we’ll see where markets go here. But to the extent, we see more dislocation, I could see there have been even more opportunities that don’t even exist today. So, how are you guys thinking about kind of the leverage profile of the firm now that you’ve brought leverage down? Would you be opportunistic and take leverage back up for a moment or just more broadly, how are you thinking about it now that you’re kind of within the realm of your initial targets of about 50%? So just curious on that.
Joe Adams: I think we’re – we like the 50% and I think one of our objectives in that was to get to BB rating. So, we wanted to be double BB, because BB has, I think a lot of positive attributes of lower – probably – the lowest rates without sacrificing operational and business flexibility. So, we got BB from Moody’s and Fitch and I think S&P we hope we’ll get there as well. So, I think it will be – we’d like to maintain the BB and I would say 50% debt to total cap feels good at the moment.
Devin Ryan: Okay, great. All right. Thanks, Joe. I appreciate it.
Joe Adams: Yes.
Operator: Your next question comes from the line of Giuliano Bologna with BTIG.
Giuliano Bologna: Good morning, and congratulations on another great quarter.
Joe Adams: Thanks.
Giuliano Bologna: Kind of digging a little more on the aviation side of the business as you’re targeting the CFM56 engine market. And I think based on some of the commentary from one of your previous calls, you were at call it roughly 200 engines. Is there any sense of where you are now and potential deals that could be in the pipeline? And then what do you think you could ultimately grow your portfolio of CFM56 engines say over time?
Joe Adams: Yes. So, when we started the business five years ago, we said, wouldn’t it be great if we got to 100 engines. Now, we’re at 300 engines and we’re saying, wouldn’t it be great if we got to 500 engines. And then pretty soon we might say, wouldn’t it be great if we got to 1,000. So, I do think with 22,000 CFM56 engines flying around the world that it wouldn’t be crazy for us to expect us that we could own as many as 1,000 of those. And if we have, as I mentioned, average shop visit cost $6 million in 2022 and we can do that for under $3 million, why wouldn’t we want to do that. So it – and we should be able to do that, because we have a competitive advantage that no one else can copy. So, I do think the aspirations have grown, but there always are return constraints. So, we’re not just going to buy engines at any price. So, we never budget CapEx on the investment side and it will be a function of how attractive the market is and whether we think we can continue to earn 20% unlevered returns.
Giuliano Bologna: That makes all the sense. And I guess just in thinking about it, that’s come from a magnitude perspective that $5 million an engine, 500 would be $2.5 billion of capital and the 1,000 will be close to $5 billion of capital, which is multiples of where you are now. And if you do get the Advanced Engine Repair JV off the ground, you should be able to probably generate north of 30% adjusted EBITDA margins with the benefits of the JV. Is that a reasonable way of thinking about the overall end market over time?
Joe Adams: Yes.
Giuliano Bologna: That’s great. Well, I really appreciate it and I’ll jump back in the queue. Thank you.
Joe Adams: Thanks.
Operator: Your next question comes from the line of Rob Salmon with Wolfe Research.
Rob Salmon: Hey, good morning, guys and thanks for taking the question. Joe, just a quick follow-up in terms of the outlook for the aviation returns profile. Will your return threshold be increasing as the aftermarket CFM business start to really scale up here?
Joe Adams: Yes. I mean I think we should capture – in other words, if we can save $2 million for a shop visit that other people can save and we’re earning 20% now then we’re not going to give away the $2 million for nothing. We’re going to try to keep as much of it is as we can. And – but on the other hand, it’s not unreasonable to assume that we could share that with some airlines and capture airline customers on a programmatic basis. That’s what we’re – that’s really what we’re aiming for over the next two years is to pick up airline partners on a programmatic basis, then potentially generate income and EBITDA that’s not based on how many assets you own. So that’s something we’ve turned our attention to now that we’ll have commercially available products and a real competitive advantage to really sort of make gain from that and it’s going to happen over the next two years, I’m pretty convinced.
Rob Salmon: And just so we’re kind of configuring expectations, setting expectations properly, from a market product standpoint, of the total opportunity, like how big it is kind of the first product that’s coming on in call it the first half versus the second half of 2020?
Joe Adams: They’re probably, I would say, one-third, two-thirds. One-third in the first product and two-thirds in the second product.
Rob Salmon: That’s helpful. And then just kind of more on a kind of the fourth quarter results. We saw Aviation utilization rates within the engine component of the business drop pretty meaningfully sequentially third Q to the fourth quarter, but I didn’t see a meaningful change in the remaining lease term. So, could you give us an update in terms of how that played out? What impact, if anything we should be thinking about the corona on the aviation utilization rates within your engine segment?
Joe Adams: Yes. Good question. So, when we report that utilization, we report a single date at the end of the quarter, which is actually in this instance is probably the first time, it’s not really representative of what the utilization was through the quarter on a weighted average basis. It was much higher, obviously, as you can tell from the numbers we reported. So, we took a number of engines. The Avianca fleet came in, and a lot of those engines were not put on lease. So that’s why the number was 60% was at the end of the year on a specific date. So, we’re going to change that going forward. We’re going to start doing weighted average over the next – going forward from here. So in the next quarter, we’ll have a weighted average number. But I would not – that 60% number was not representative in the business. The average terms have not changed. The average rates are actually a little bit higher. So, I think it’s all good. It’s just not a good number for us. So, we’ll change that.
Rob Salmon: And any way for us to kind of frame up the potential impact from corona across your assets? Maybe, how much – how many customers you have that are domiciled in China or flight hours of your engines that are originating there if you get that sort of granularity from your airline customers?
Joe Adams: I think we’re zero in China. Yes. So that’s an easy number to report. Yes, we have nothing. Our biggest concentration geographically is Europe, which is in the sort of the 40s – 40% of the fleet in North America and Asia are in the 20s each. So that’s about 80% of our portfolio and Asia is no China, no Japan. It would be Southeast Asia and Korea, I think mostly. But I think you’re going to assume, it feels like this is going to spread, it’s not going to be isolated to China. So, it is – it will probably be better managed and better contained, but I think geographically it seems like most people think it’s spreading.
Rob Salmon: Yes. We’ll have to watch and see the impact. I appreciate the time, guys.
Operator: Your next question comes from the line of Ariel Rosa with Bank of America.
Ariel Rosa: Hey, good morning, Joe. So, a bit of a random question. But I wanted to ask about the offshore, I saw it took a bit of a step-up in the quarter. Maybe, you could just talk about what’s going on there and plans or expectations for maybe, divesting that asset eventually given kind of some of the activity that you guys have taken on recently?
Joe Adams: Yes. Well, thanks for asking. It’s actually a positive. We were hiding it from you. So we didn’t – I kept the good news for me.
Ariel Rosa: We actually found it. We found it.
Joe Adams: It actually has been pretty good. The rate – utilization on the Pride was in the high-80s for the quarter and rates are moving up. So, the demand side is it feels like the first time we’ve seen some meaningful improvement in that market for a while. So, the Pride and the Pioneer continue to operate in the same way through 2020. And as I said, the utilization rates have actually been trending up. And then on the Pride, the tower that will enable the vessel to move into the well intervention market is under construction. So that should be completed by the end of this year. And in 2021, we’re going to be going after well intervention business, which is materially higher rates. We’ve also – I think a positive macro in that well – one of the uses the Pride could target is the plug and abandonment market, which is capping and closing off old wells, of which there are thousands of them out in the ocean. And the oil and gas companies are really good at postponing those events, because it costs money to do that. So, I think governments have finally run out of patience and there is a pretty positive macro and the Pride would be ideally suited to pick up some of that business. So, even if there is no new drilling, there is going to be closing of old drilling. So, it feels pretty good for that and it’s just not a main focus of our new initiatives, but it is doing well.
Ariel Rosa: Sure. That’s great. That’s helpful. I understand. And then just turning to Jefferson. I wanted to understand a little bit better. There was this big step-up in storage capacity in the quarter, so congratulations on that. Maybe, you could give us a little bit of color on what’s the utilization rate for that storage right now? And kind of how much of that is actually contracted versus how much of it still needs to go under contract? And then asking the earlier question about $100 million of EBITDA on a run rate basis slightly differently. How much of that is kind of coming from storage versus transloading, transloading fees essentially or other sources of activity at Jefferson?
Joe Adams: Yes. So, the storage utilization is very high. It’s in the 90s and almost all contracted, and typically, it’s three to five-year deal. So that storage is spoken for. It’s hard to separate storage from transloading, because it’s all tied together. When somebody brings in product, they’re going to be using – bringing in by rail, you get paid a rail fee, storage fee and then generally a fee for going across the dock loading a ship. So it’s kind of a whole. Each customer sort of has a P&L more than the storage tank itself. So, I would say – and one of the reasons why the business is ramping is the volumes and we say that volumes have grown and are continuing to grow. And so it’s all tied to the movement in and the movement out. And then further when we’ll have – we have three pipeline projects under way – under construction. It’s not under way, they’re actually being constructed. One is connecting with six pipelines to Exxon, which is our neighbor right across the river. One is an outbound crude pipeline to Motiva and Total into the Zydeco pipeline and one is an inbound pipeline from Cushing. And so when those – all three of those are under construction, when those come online, our throughput volumes will go up, because obviously, you can move a lot more product and you’re not constrained by rail and dock. So, you get a lot more volume and that’s one of the reasons. And so once you cover your fixed costs and you have moved in a positive, then incremental volumes are extremely – contribute a lot.
Ariel Rosa: Okay, terrific. That’s great color. And then just last question for me. Maybe, your thoughts on the extent to which any kind of macro-risk or coronavirus, global recession risk might disrupt or delay the development of that $100 million target at Jefferson or do you not see that as a material risk at this time?
Joe Adams: I don’t see that today. I recently had – I’ve been meeting with the refineries pretty regularly. And their expansion plans, Excellence expansion plans are under way and I don’t see any current events or they don’t see anything that would change that. They look at these investments over a 30-year time horizon. So, they are not typically impacted by changes in sentiment on a month-to-month or week-to-week basis. It takes years to get the stuff in motion. And then once it’s happening, it happens. So, I don’t see any of that. And so they will be producing. Exxon will be producing 625,000 barrels a day in 2022 and that’s – and then that product has to go somewhere. So, all of those decisions and Infrastructure around that has to be planned and committed for in the years in advance.
Ariel Rosa: Okay. That’s terrific. That’s encouraging to hear. Thanks for the time.
Joe Adams: Thanks.
Operator: Your next question comes from the line of Frank Galanti with Stifel.
Frank Galanti: Yes. Hi, thanks. So, I wanted to ask about Repauno. So, LPG prices still have a pretty big disparity in the U.S. and the rest of world. So, kind of the thesis is still intact, right. The U.S. needs to be exploring LPGs. I just wanted to kind of ask about any progress at the terminal from a contracting perspective? I know these contracts take time, but has there been any change or progress made on that front?
Joe Adams: Progress, yes. I mean we’ve – so, we’re putting in place the system and we’ve got multiple counterparties that we’re negotiating with. In the macro, it’s still very, very positive. In that production in the U.S., it continues to grow and, consumption and demand in the U.S. is virtually flat. So that product has to get exported. And so we see that and we have multiple counterparties. It’s just sort of tying it all together, you point out, it does take time. And figuring out all the system requirements is what we’re working on, but it’s going to happen. We said we’ll be operational in Q3 and loading ships. So that’s all good. And I think the ultimate – the longer-term goal of being able to load VLGCs, which is the most efficient ship on the market is also still very valuable. And if you can get an operation going and operating out of the East Coast of the United States, that is very valuable, because today 90% of product goes out of the Gulf of Mexico. But everybody, we talked to wants diversification of supply chain. So, just getting that done will be a huge, extremely valuable asset.
Frank Galanti: Great. That’s helpful. And then for my second question, I wanted to ask about remaining CapEx So, I know the aviation side, it can be variable rate as opportunities come up. That’s a place you guys look to deploy capital. But on the Jefferson and Repauno side, how much CapEx is left to get those pipelines installed in the storage built up and then to get Repauno up and running?
Joe Adams: So, Jefferson is in expansion mode. And this year, I think remaining CapEx is $200 million. And that will all be financed with non-recourse debt at the Jefferson entity. And so that’s – part of the refinancing we did in the first quarter was to provide that capital for the year. So, all the projects, I mentioned the pipelines, the dock, everything is basically – will be funded from Jefferson borrowing capital, not from FTAI capital. Repauno, we also look to do long-term debt financing. But from a timing perspective, I think we’re assuming $60 million of capital is what’s needed to develop and finished Phase 1. And once it’s finished, we will look to do non-recourse financing that we’ll probably finance some or a good portion of that from FTAI in the interim.
Frank Galanti: All right, great. That’s helpful. Thanks, Joe.
Joe Adams: Thanks.
Operator: Your next question comes from the line of Brandon Oglenski with Barclays.
David Zazula: Good morning. This is David Zazula on for Brandon. Thanks for taking our question. Just our question is on the Long Ridge Energy Terminal equity investment. Could you maybe, talk about why GCM is a good partner for that investment? And how the earn-out is structured?
Joe Adams: Yes. So, GCM is an infrastructure fund that is affiliated with GCM Grosvenor out of Chicago and this particular fund is comprised of Taft-Hartley money. So, it’s union pension fund money. And so one of the attractive parts to the terminal is that this – we have a lot of – I think we’ll have at the peak like 400 union jobs in building the power plant. So that was something that was important and interesting to them, but they’re also in the market for additional investments in infrastructure. So, when we look at new investments at Long Ridge, potentially, we could be partnering with them and they have a network that’s different than our network. So, we can see opportunities and deals together sort of collectively and what was the second...
David Zazula: A little color on how the earn-out is structured? And maybe, what you think the catalyst will be for maximizing that earn-out?
Joe Adams: Yes. So, the earn-out is based upon – we’ve talked a lot about adding on-site tenants to buy power. So, if we bring – today, we’ve sold electricity to long-term under contracts that are a little under $0.03 a kilowatt hour. And so when we’re marketing on-site locations to people such as data centers or other potential users to buy power, we’re marketing that at $0.045 per kilowatt hour, so 50% higher. So, we get a portion of any incremental revenue that we get from that – from those tenants if we bring those in to purchase power. So that’s how the earn-out is structured. And we’ve said we estimate that it could be worth $25 million to $50 million additional to us.
David Zazula: Great. Thanks, Joe.
Joe Adams: Yes.
Operator:  Your next question comes from the line of Robert Dodd with Raymond James.
Robert Dodd: Hi guys. On the debt to capital, could you give us a reminder of how much of that today is kind of non-recourse? The 50, obviously, you just refinanced the bonds, which are a non-recourse at Jefferson. And then on – when it comes to keeping that BB from a Moody’s and Fitch perspective, do they give any weighting to the non-recourse at Jefferson and potentially, at Repauno or is it just about the recourse debt to the parent?
Joe Adams: They would look at it. I think they will run the numbers both ways as we do. And I think we sort of report with if you don’t count non-recourse debt, I think our leverage pro forma is 46%. And if you do count it, it’s little over 50%. So, it’s not a huge difference, not something you could look at and say, well, that’s going to move the needle in the way they think about it. So it’s – they’re both – they’re pretty close today. But it is – refinancing Jefferson to be non-recourse, we had limited recourse in the prior debt was important to them and it was important to us too. So it’s – I think that was a big step and I think part of the reason for the upgrade.
Robert Dodd: Got it, got it. I appreciate that. And then one more if I can. On the coronavirus and in your prepared comments, Joe, I mean you talked about obviously, airlines can get stressed, need cash. Sometimes if they need cash, they need it in a hurry. How fast can that cycle move in terms of an airline needing money and being willing to enter into a transaction? I mean is that materially quicker than the normal kind of process that you go through for acquiring either engines or aircraft?
Joe Adams: Yes. It is materially quicker and it can be very fast. People, when they’re distressed, people change the rules. They do things much faster. So, I think it could be – there are discussions now that are ongoing and happening. So, stay tuned.
Robert Dodd: Okay. I appreciate it. Thank you.
Operator: And at this time, there are no further questions.
Alan Andreini: Thank you all for participating in today’s call. We look forward to updating you after Q1.
Operator: this concludes today's conference. You may now disconnect.